Operator: Greetings and welcome to the Inter Parfums’ Fourth Quarter 2015 Earnings Results Conference Call. At this time, all participants are in a listen-only-mode. [Operator Instructions] As a reminder, this conference is being recorded. I would like to turn the conference over to Mr. Russ Greenberg, Executive Vice President and Chief Financial Officer. Thank you, Mr. Greenberg. You may now begin.
Russell Greenberg: Thank you, operator. Good morning and welcome to our 2015 fourth quarter and year end conference call. As usual, I will first review our financial highlights and then Jean Madar, our Chairman and CEO will summarize recent developments and upcoming plans. After that, we will take your questions. Before proceeding further, I want to remind listeners that this conference call may contain forward-looking statements which involve known and unknown risks, uncertainties and other factors that may cause actual results to be materially different from projected results. These factors include, but are not limited to the risks and uncertainties discussed under the headings forward-looking statements and risk factors in our Annual Report on Form 10-K and the reports we file from time-to-time with the Securities and Exchange Commission. We do not intend to and undertake no duty to update the information discussed. When we refer to our European based operations, we are primarily talking about sales of Prestige Fragrances conducted through our 73% owned French subsidiary, Inter Parfums SA. When we discuss our United States based operations, we are primarily referring to sales of Prestige Fragrances products conducted through our wholly-owned domestic subsidiaries. Fourth quarter results like the first three quarters of 2015 were impacted by continued stress of the U.S. dollar versus the euro. As we have noted in previous filings and conference calls, a strong dollar negatively affects sales comparisons. And because almost 40% of net sales of our European operations are denominated in U.S. dollars, while almost all costs of our European operations are incurred in Europe, a strong dollar favorably affects the profitability measures. So, to summarize, fourth quarter net sales declined 5.4% to $118.3 million from $125.1 million. At comparable foreign currency exchange rate, net sales increased 1%. European based operations generated net sales of $86.6 million, down 5.3% from $93.6 million. Sales by U.S. based operations were $29.7 million, down 5.8% from $31.5 million. Gross margin was 64% of net sales compared to 59.4%. SG&A expense as a percentage of net sales was 60.4% compared to 55.9%. Operating income was $4.3 million compared to $4.4 million and represented 3.6% of net sales in both periods. Net income attributable to Inter Parfums, Inc. was $1.9 million, or $0.06 per diluted share versus $3.3 million or $0.11 per diluted share. And that decline was primarily due to an increase in the income taxes. Keep in mind as I summarize the full year that the average dollar/euro exchange rate for 2015 was $1.11 as compared to $1.33 for 2014. So while reported 2015 net sales declined 6.2% to $468.5 million from $499.3 million at comparable foreign currency exchange rates, net sales actually increased 1.5%. In 2015, net income attributable to Inter Parfums, Inc. was $30.4 million or $0.98 per diluted share as compared to $29.4 million or $0.95 per diluted share in 2014. The increase in gross profit margin for the year as a whole was primarily attributable to the strength of the U.S. dollar relative to the euro for European operations. And for U.S. operations, it was due to a greater concentration of higher margin prestige brand sales as compared to lower margin specialty retail and mass-market product sales. The gross profit margin for European-based sales, which reached 65% in 2015, is up from 60% in 2014. The 2015 gross margin for U.S. based operations was 50%, up from 48% in 2014. Selling, general and administrative expenses as a percentage of sales, was 49% in 2015 versus 47% in the prior year. For European operations, SG&A expenses increased 2% in 2015 and represented 52% of net sales compared to 50% in 2014. With European-based constant currency sales up only 1.8%, it is very difficult to gain leverage over fixed costs while still maintaining the operating platform that we need to support planned growth. For U.S. operations, SG&A expenses increased 9% in 2015 and represented 39% of sales as compared to 36% in 2014. This increase relates to growth from our newer prestige product licenses, such as Oscar de la Renta and Dunhill, which bear royalty and advertising expenses. In 2015, promotion and advertising included in SG&A expenses of $83.8 million were 17.9% of net sales as compared to $86.7 million or 17.4% of net sales in 2014. As we regularly point out, a greater portion of our advertising spend is budgeted for the second half of the year, with the highest percentage in the fourth quarter. In fact, promotion and advertising expense included in Q4 2015 was about $32 million or 27.4% of net sales, just a little higher than the 25% of net sales spent in the fourth quarter of 2015. Below the operating income line, there was a $900,000 loss on foreign currency and only nominal net interest income in 2015 as compared to a $900,000 gain on foreign currency and a $2.4 million in net interest income in 2014. And finally, our 2015 tax rate was 35.6% versus 34.2% in 2014. In 2015, we generated cash flows from operating activities of $50 million further strengthening our already strong financial position. Long-term debt, including current maturities, aggregated $98.6 million, which financed our May 2015 acquisition of the Rochas brand. At year end, we had working capital of $338 million, including approximately $260 million in cash, cash equivalents and short-term investments for a working capital ratio of 3.6 to 1. The strength of our balance sheet, along with favorable near and long-term outlook were among the reasons why our Board of Directors authorized a 15% increase in the annual dividend to $0.60 per share. Our next quarterly cash dividend of $0.15 per share will be paid on April 15, 2016 to shareholders of record on March 31, 2016. As we reported earlier today, assuming that dollar remains at current levels, 2016 net sales are expected to be in the range of $500 million to $510 million. And net income attributable to Inter Parfums, Inc. in the range of $1.05 to $1.10 per diluted share. Please keep in mind as we reported 2016 quarterly results that in addition to the typical seasonality associated with our business, which favors the second half over the first, our new product rollouts are heavily weighted towards the second half of the year. Jean, please continue.
Jean Madar: Thank you, Russ and good morning everyone. The release that we issued in January covers fourth quarter sales activity, so I will look back at the year as a whole before looking ahead. 2015 was really a highly productive year on many fronts, including market penetration, new product launches and the addition of new names by way of acquisition and license agreements. On the subject of European operations, we saw increased market penetration in our three largest markets North America, Western Europe and Asia, which sell in local currency, sales growth of 25% for the U.S., 10% for Europe and 3% for Asia respectively. And we also achieved the top line growth in parts such as the Middle East and Eastern Europe. Looking at our popular brands Montblanc achieved almost $100 million in sales, $97.7 million to be precise, making it once again our largest selling brand. For this brand, in 2015 our new launch was Lady Emblem, the first successful women’s fragrance in Montblanc. For Jimmy Choo, we did $92.4 million in sales and it was clearly our fastest growing brand with sales up 18% in dollars, but 41% in local currency. We launched for our Jimmy Choo a fragrance called Illicit, which is our third women’s scent under the brand last year. In these two cases, Montblanc and Jimmy Choo and for that matter our entire brand portfolio, the success of our fragrance brands relied on the continued sales of the traditional brand, not just new ones. Let me give you some highlights from our U.S. operations, including the new fragrances, which has an extraordinary strong performance we have seen from the launch of Dunhill Icon. Dunhill’s 2015 sales increased 37%, up to $22.3 million as compared to 2014, making Dunhill the largest brand within our U.S. operations. Another U.S. highlight is Oscar de la Renta, where 2015 brand sales increased 18% as compared to 2014, benefiting from the 2015 launch of Extraordinary by Oscar de la Renta. In 2015, we inked three agreements that are very important facts to our long-term goals. We acquired the Rochas trademark in May. And with that transaction we became the brand owner for a fragrance, as well as the licensor for the grand special I would like to repeat that. One month earlier we signed a global licensing agreement with Coach and most recently, our license with Montblanc was extended to 2025. Let’s now move the discussion to the future. One thing you should expect is the continued geographic rollout of Jimmy Choo Illicit, which debuted in 2015 and will continue in the first two quarters of 2016. Capitalizing upon the successful establishment of extensions and flankers has always been a relying heavily winning strategy for their partner. So agent will be joined by [indiscernible] spirit beginning of this year and similarly we will launch the Jimmy Choo Illicit Flower line as the next addition to Jimmy Choo Illicit. In 2016, we will introduce a new women’s and a new men’s fragrance for Van Cleef & Arpels. The new women’s global fragrance and of course our first ever Coach fragrance for women will debut in the fall. We will also have Rochas Byzantine fragrance sales for the full year, along with royalty revenues from its fashion business. Finally, we are still on target to launch our first new women’s scent for the Rochas brand in 2017 with a concrete launch. Our growth plan includes growing our existing brands. For Oscar de la Renta we have Oscar Gentleman the new blockbuster fragrance we launched internationally in August. Our first ranker for is Oscar de la Renta brand is the [Technical Difficulty]. As I mentioned in our last conference call, we are reintroducing the 1977 signature women’s Versace with two brand extensions, one we call [indiscernible], which targets the tradition in the Middle East or UK, which has been on Roche later in the spring. Then in August, in terms of – in the U.S. and Canada and Latin America, we will begin selling Versace, the second brand extension for Oscar. For Dunhill we are adding another branch to the Icon 73 is Icon Elite and this will be launched in the third quarter of this year. Also coming to the market in the second half of the year are two new agent provocateur scents called Aphrodisiac and Chocolate Aphrodisiac. Throughout the year, we have new scents and flankers for Ana Sui for select geographic jurisdictions. Regional, we will be launching Burch brands for guys and gals under the Ana Sui brands internationally. And for Abercrombie & Fitch, we launched a new men’s scent and it is scheduled to roll out internationally in July, with the women’s version debuting in the early 2017. These are very, very positive developments for the U.S. division for Inter and Abercrombie. We have every reason to be confident in our company structure. The confidence comes from the breadth of our established brand portfolio. It comes also from opportunities arising from new relationships, our global distribution footprint, the highly positive and creative talent pools and let’s not forget the very strong financial position, as Russ mentioned before and the track record of success. So as we said if [indiscernible] it is for good reason. Thank you for your patience. Operator, we can open the floor for questions please.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Linda Bolton Weiser of B. Riley. Please go ahead.
Linda Bolton Weiser: Hi.
Jean Madar: Hello Linda.
Linda Bolton Weiser: Hi. So I didn’t quite catch, can you just repeat, I know you were speaking about it Jean, the major – I think you mentioned there was a launch for Jimmy Choo Flower or something and also can you mention if there is any new launches for Montblanc in 2016 and what the timing of those for each of those two brands would be?
Russell Greenberg: What Jean mentioned is Jimmy Choo Illicit Flower, which is an extension if you will, off of the Jimmy Choo Illicit brand. It’s like a flanker. Alright. And for Montblanc there is also a flanker, it’s called Legend spirit. And that is also launching early in 2016. Again, that’s also a flanker brand. And usually what flankers are, are we tweak the scents a little bit so for distribution in certain parts of the world where they like – use typically using a stronger or a lighter type of scent.
Jean Madar: [indiscernible] market share as we said before, Montblanc will be doing $100 million, Jimmy Choo is not far from there. So, we have two very, very successful franchises. Thank you, Linda. Any other questions?
Linda Bolton Weiser: Yes, yes. Actually, can you talk about – well, just specifically, I mean, I guess I am thinking that constant currency sales and EPS would actually be down in the first quarter, down year-over-year. Is that – am I thinking correctly on that?
Russell Greenberg: I can’t comment.
Jean Madar: We do not disclose sales by quarter.
Russell Greenberg: I mean, clearly we are stressing the fact that a lot of the new product launches are geared for the second half of the year. So, if that’s where your model is coming out to, then I have no reason to think that you are wrong or right. I really cannot comment. We only issue our guidance for the full year. But knowing we specifically stress the fact that our new product launches are geared for the second half of the year.
Linda Bolton Weiser: Okay. And then can I ask about the gross margin? It was actually even stronger than I would have expected. And I know the currency situation is one of the reasons, but it just seemed very, very strong and you mentioned mix, I think. But are you still thinking gross margin can be flattish in 2016? I think you had sort of indicated that a while ago.
Russell Greenberg: Yes. I certainly don’t think it’s going to expand further than it has. The gross margin, what we said on our remarks and what I have indicated in our filings, clearly the European operations is influenced significantly by the fact of the strong dollar throughout the entire year of 2015. The dollar, if it weakens, you could see a decline in the margin. If it maintains where it is, I certainly don’t expect it to expand, I expect it to be kind of flat. On the U.S. side of our business, we have seen a consistent gain of 2% over the last two years. We went from 46% to 48% to 50%. And I think that, that has an opportunity to expand a little bit more as we move even more so into the prestige type of fragrance business moving away from specialty retail, if you will.
Jean Madar: Yes.
Linda Bolton Weiser: Okay. And then can you just explain I was a little confused by the minority interest line. It usually detracts from net income, but it actually added to net income and then your tax rate was unusually high. Can you explain those factors?
Russell Greenberg: The minority interest is always right about 27% of European profit, right. So, you are going to have to look at the details as to where the profitability came from. The U.S. operations, was more profitable than the European operations in the fourth quarter, which makes it appear to have that kind of a swing. The tax rate is a completely different story. I mean, certainly the quarterly tax rate includes a true-up, if you will, because no way is our rate effective somewhere around 60% odd, but the overall annual tax rate did increase from the prior year and it mainly has to do with where the profitability is with respect to taxable jurisdictions. We continue to benefit from the favorable tax rates in Switzerland and in Singapore, but a big piece of our European operations business also comes through its U.S. distribution subsidiary, which had an increase in its effective tax rate as a result of state and local taxes here in the United States.
Linda Bolton Weiser: So, what do you think we should use for 2016 for the tax rate, about 34%?
Russell Greenberg: Well, we came in this year at around 35.5%. I think 35% is probably the same number that I have pretty much said for several different conference calls. So, I am sticking somewhere right around 35%.
Linda Bolton Weiser: Okay, thanks.
Russell Greenberg: Okay.
Linda Bolton Weiser: Thank you.
Jean Madar: Thank you, Linda.
Operator: Thank you. The next question is from Joe Altobello of Raymond James. Please go ahead.
Unidentified Analyst: Hi, good morning. This is Christina on for Joe.
Russell Greenberg: Hi, Christina.
Jean Madar: Hello, Christina.
Unidentified Analyst: I was just wondering I don’t know if I missed this, but what were 4Q constant currency sales up for European-based operations?
Russell Greenberg: I didn’t – it’s difficult to calculate on a quarterly basis, because we are – because we did not come up with exactly what it was for the fourth quarter and that was not disclosed in our remarks. Our European-based operation sales for the quarter, was $88.6 million. It was down 5.3%. If I took a guess, I would say it was probably up maybe 1%, very similar to what we had for the year.
Unidentified Analyst: Okay, great. And then in terms of China, Russia and Brazil, what are your expectations for those regions next year?
Jean Madar: In our general forecast, of course Brazil will be down a lot and this will have an impact on the Americas. We are looking at the sales being down 20% to 30% in Brazil. In Russia, the latest estimate that we have is not as bad as we thought. The largest selling season is really the first quarter of – in the first quarter. So, February and March, we are quite good at – from a sales flow point of view. So, we are maintaining a level forecast for Russia. And China continues to be weak, even though we see some increase in sales in Korea and in Japan from Chinese tourist buying products when they travel to Korea or when they travel to Japan. We still [indiscernible] in sales and we do not expect this to improve this year. We are expecting also some sales weakness in Hong Kong on the top of Mainland China, but all this is in our numbers in our guidance. Okay.
Unidentified Analyst: Okay. Thank you so much.
Jean Madar: Thank you, Christina. Any other questions?
Operator: The next question is from Samantha Berger of Citi. Please go ahead.
Samantha Berger: Good morning. I am filling in for Wendy today.
Russell Greenberg: Good morning.
Jean Madar: Good morning.
Samantha Berger: You have said before that you are agnostic between licensing brands versus acquiring them. Does that continue to be the case? And are you committed to pursuing those relationships or are brands coming to you?
Russell Greenberg: Just – I am just going to repeat your question, because I know that Jean didn’t hear it and if he wants to answer, I would let him. What she is asking about is it our preference to do brand acquisitions versus licensing opportunities, right? And when we do these kinds of deals are we going in search of those opportunities or is it – or are we waiting – sitting back waiting for them to come to us? Thank you.
Jean Madar: That’s a good question. Brand acquisition is definitely better than licenses, because we have the cash to pay. And if we don’t have the cash, we can if we need to borrow. So, if and when it’s available, it will be better to buy than to rent. If that come to us we will not buy, where we own the trademark, so we do not pay a royalty. We also have to washout, where we also own the trademark and we do not pay royalty. We actually receive a royalty for pushing. Going forward, I think if a brand is right for our portfolio, we will be absolutely fine to expand our license or if possible to acquire. We don’t have any real complete R&D. We need to be quite opportunistic. We think that with the concentration of business in some of the countries with [indiscernible] and demand to continue. We think that we could find some opportunities going forward in this portfolio. But we are – very often we receive the proposals every month, but we are very selective. It has to make sense. The brands have to make sense with what we have today. We are very happy to have big portfolio of plastic and fashion brands. Some have worldwide appeal. Some have only regional appeal, but they are all growing. So we look at brands big or small with the same capital addition.
Samantha Berger: Very helpful. Thank you. So would you continue to want to keep cash on hand, even after your recent dividend increase, versus using some of that cash for more share repurchases?
Russell Greenberg: At this point in time what we would really like to use this cash for is to be opportunistic. You never know when any of these types of deals come across your desk. Our ability to get a brand like Rochas was our ability to act very quickly. So having the cash on hand gives us the opportunity to be that type of opportunistic. So the plan today is really to keep the cash and to be opportunistic. We are not looking at special dividends or stock buybacks doing at this time.
Samantha Berger: Thank you. And then finally switching gears a little bit, in terms of the travel retail channel, could you remind us what percent of sales comes from that and then what trends you see there?
Jean Madar: Yes, we can. Well, Russ do you want to answer that?
Russell Greenberg: Yes. For travel retail today represents between 15% and 20% of our sales, the trend is up. We have more brands that we are getting into travel retail and the business at travel retail has been relatively strong. And I don’t see anything stopping that, at least at this point in time, so I think those trends are going to continue. Travel retail is a very, very important part of the business for us. It’s a very profitable part of the business. So we are happy to see that that is moving in the right direction.
Samantha Berger: Excellent. Thank you very much.
Jean Madar: Thank you, Sam.
Operator: Thank you. The next question is from Jason Gere of KeyBanc Capital Markets. Please go ahead.
Jason Gere: Okay. Good morning. Just wanted to kind of follow-up on some of the – that questions asked already, but I guess in terms of from an acquisition standpoint, I mean you talked about the success at Rochas, would you think about anything that might be a little bit more transformative to the portfolio, something larger scale that might give you I think a little bit more of a – giving more global presence, I just wanted to get a bit more color on kind of I would say tuck-in and it fits the portfolio versus something that might pop-up that is a little bit more transformative?
Jean Madar: Well, in terms of growth from transformative acquisition leads us to mainly absolutely for it, we are doing $500 million of sales. We have around $260 million of cash. If we see something – if something big and something that we can grow can be added to our company, even if it means transforming the company or transforming business, it’s okay. So as we said before, we are very open-minded. We don’t have a certain limit in size or in penetration in certain regions or not. We are very open.
Russell Greenberg: And we are not afraid to leverage to the extent that we need to in order to achieve that goal.
Jason Gere: Okay, that’s good. I am fine with that. So I think just the other question I was going to ask, is maybe as we think about the launches for 2016, can you maybe go back and think about the launches in ‘15 that you thought were successful, maybe less successful and part of that could have been the retail environment, but how are you kind of adjusting any of your thinking for the business for that back half, where the launches come out is obviously the best it can be? And thanks for the questions.
Russell Greenberg: Yes. You broke up a little bit in the middle of your question. So I am going to answer it the way I think and please if I didn’t answer your question or Jean doesn’t answer, just feel free to ask it again. But the major launches for 2015 on the European side of our business was clearly Jimmy Choo, Jimmy Choo Illicit was launched in the third quarter. We continued its rollout throughout 2015. It’s going to continue in 2016 until it gets full global penetration, very, very successful launch. And Jimmy Choo is a very important brand within our portfolio. Another very successful launch of 2015 was Icon by Dunhill. It’s a men’s fragrance. It’s globally sold. The reception has been tremendous from the numbers that we have seen. We are looking 2016 to do some flankers. Jean, do you want to talk about Dunhill or…?
Jean Madar: No, I want to talk – you mentioned the 2015 important launches, I think that we are happy. We didn’t make any mistakes. We didn’t have any issues impacted Europe. To put it in perspective, the launches that we are going to see in 2016 this year are for me, could be actually bigger than what we have seen in 2015, because Coach for instance is a trademark that is known in the U.S. and in Asia. So we have two major markets where Coach has a very strong presence. And Abercrombie & Fitch is a worldwide today trademark. And even though the fashion had some – how should I say not issues, but some difficulties or some repositioning, some soul-searching issue. From a fragrance point of view, it’s very clear it represents the spirit of America for international market. And the first reception that we got from retailers in UK, in Germany, in France, in the Middle East, are quite exceptional. So again, as you know we are prudent because we are in a difficult environment. But I will say this year that Coach, Abercrombie and Hollister are great franchise.
Jason Gere: Okay. Thank you. You got the majority of the question. And I guess the last one is just a housekeeping and I apologize because of my tone, but did you actually specify the top line impact from currency for 2016, I know it was about 7.5% in ‘15, are we looking at something like 2% to 3% on a full year?
Russell Greenberg: For 2016?
Jason Gere: Yes.
Russell Greenberg: I can’t predict currency yet for 2016.
Jean Madar: The numbers that we gave as the guidance assumes the dollar stays at this level, which is around $1.10, I guess against the euro.
Russell Greenberg: It’s almost the same level that it was pretty much for the full year of 2015. So for 2015, although sales were down 5.4%, they were actually up by 1.5%.
Jason Gere: Okay, that sounds good. Thank you very much for answering the questions.
Russell Greenberg: Thank you.
Jean Madar: Thank you. Anymore questions?
Operator: Yes. The next question is from Frank Camma of Sidoti. Please go ahead.
Frank Camma: Good morning guys.
Jean Madar: Hi.
Russell Greenberg: Good morning Frank.
Frank Camma: I mean could you just talk a little bit about Abercrombie & Fitch and when you would know or when you would be able to I guess sell in their stores, I know is that an option or how does that work, I am just trying to figure that out?
Jean Madar: It is an option. It is an option we are still discussing. We have Russell to…?
Russell Greenberg: I think the – in our agreement, the main concept behind our license agreement with both Abercrombie and Hollister is for international distribution, i.e. meaning distribution outside of their stores on an international basis. The agreement does call and certainly gives Abercrombie and for Hollister, the right to buy the product that we have created for international markets and sell it in their stores. And Jean and I and the rest of the company are very hopeful that Abercrombie will take our product and sell it in their stores, but we can’t commit until we know – we can’t say anything definitively until they make the decision. Jean?
Frank Camma: Okay.
Jean Madar: I think they will. They will – they will take it for sure in some of their flagship stores before they rollout to their stores. But again, like Russ said, the agreement is really to put this product outside of their stores. And I can talk a little bit more about the distribution factor for Abercrombie. We will launch exclusively in second half in four or five countries in Europe. We will launch also with [indiscernible] Germany as exclusive. So because of the desire and the appetite for the brands, we have been able to have some very interesting partnership with retailers. So, we are very optimistic for the commitment which will be sold at very democratic price in the selective distribution, but really affordable price. And Coach will be, of course, sold in department store. The product will be – the product has been presented to the trade. And again, the first response is very good.
Frank Camma: Okay. Other question, just on your recent or your – in the K you mentioned the French Connection, I was just wondering if you care to talk anything about that? And also just what’s your capacity to kind of add these small – I mean, obviously, I think it’s smaller license, but do you – you have a lot of capacity to kind of fold these in without incremental SG&A?
Jean Madar: We have capacity, of course when we signed an agreement with the French Connection to produce fragrance for their 300 stores that they own or they manage, but the company definitely has the capacity to do more. We constantly – we permanently will look for newer agreements for fragrances.
Frank Camma: Okay, great. Thanks, guys.
Jean Madar: Thank you, Frank.
Operator: Thank you. The next question is from Steph Wissink of Piper Jaffray. Please go ahead.
Steph Wissink: Thanks. Good morning, everyone. Just a couple of questions. Russ, if you could talk a little bit about the house of the retail channel. I am just curious if you are seeing any shifts in demand from your legacy channels into new channels like specialty or online?
Russell Greenberg: Your phone broke up, Stephanie. I am not sure I heard your question.
Steph Wissink: Just curious about the new shifts in the retail channels, are you seeing any movement of demand from some of your legacy channels to some new channels, including online or specialty beauty?
Russell Greenberg: Yes, certainly if you are talking mostly U.S. There is a pickup in our line. That is something that is moving kind of growing at a faster clip certainly than the brick-and-mortar department stores, but nothing – we are not seeing anything with our brands that is really demonstrative of any sort of a trend one way or another.
Steph Wissink: Okay. And then I am curious, Russ, I think you mentioned that just on the sales decline that you had in ‘15, it was hard to leverage. But looking at your guidance, it looks like in the back half you might start to see some leverage. Are you getting to the point in the model where we should see some incremental margin starting to flow through the back half of this year maybe into the following year?
Russell Greenberg: Yes. I definitely think that we could see some expansion on the margin. The key really is it starts with the top line growth. When you have a year that even in constant dollars you grow at a 1% rate, it’s almost impossible to gain any kind of leverage on your SG&A expenses. I mean, just inflation is going to eat that up. As we move into next year, our guide – sorry, 2016, this year, our guidance is implying a high-end of almost 10%, 12%, alright? And a 12% growth rate, we definitely should be able to see some leverage from that SG&A expense line.
Steph Wissink: Great. And then just final one for us is with respect to the license pipeline, if you can just talk a little bit about the opportunities that are out there, any licenses that you have your eye on that you might be intriguing in terms of size, any displacement that you are seeing out there in terms of brands or opportunities? Thanks.
Russell Greenberg: Yes. I think what Jean was touching on the concentration within our industry that recently occurred with Procter & Gamble we think would create opportunities of brands that may fallout, if you will, from that merger. Other than that, there are some other brands that just are looking to change for one reason or another. As Jean mentioned, quite a few things just come across our desk on a monthly basis, but we are not going to change our selective behavior. We have always been very selective on the types of brands, on the brand names that we really want to put into our portfolio. So, we are going to continue that selective behavior, but we definitely are in the market. We are definitely looking at opportunities and we hope they keep coming.
Steph Wissink: Thank you. Best of luck, guys.
Jean Madar: Thank you.
Russell Greenberg: Thank you, Stephanie.
Jean Madar: One more question?
Operator: The next question is from Hamed Khorsand of BWS Financial. Please go ahead
Hamed Khorsand: Hi. Just one topic for me is on the inventory line, there was a reduction in Q4. Was that mainly just from your end or was that actual sell-through in the channel as far as inventory goes? And how are you really adjusting for that given that there is going to be more sell-through from Jimmy Choo as you are extending it out in the first half of this year and the transitions you are seeing in online sales in the U.S.?
Russell Greenberg: Yes, you are right. Inventories in absolute dollars declined about $4 million from last year at this time. That number is very much a function of what’s coming up and the timing of new product launches. It’s very difficult to pinpoint where you are going to be at a particular point in time or at the end of any particular month or quarter. We build our inventory to make sure that we have enough product that we could launch our brands. Each brand is different from the standpoint of the amount of geographic penetration and therefore the inventory levels can fluctuate very, very significantly. I think overall the number at the end of 2015 is very reasonable. When I look at the timing of new product launches, as we move into the first and second quarter I can guarantee we are going to see a buildup of inventories and this typically happens every year. And then back at the end of the year, we are going to see it decline and reach the kind of levels that we are seeing today or even at the end of last year.
Jean Madar: So, we keep following that as we have in our books, but what is important also is we monitor very carefully the inventory existing as [indiscernible] we have out in the store. And the sell-through for most of our work has been quite good and also the inventory storyboard is quite reasonable. So, we think that in the first and second quarter of existing line, we absolutely continue to tell.
Hamed Khorsand: You are not….
Jean Madar: Yes.
Hamed Khorsand: So, you are not seeing any pricing pressure out of normalcy, are you?
Russell Greenberg: No, nothing of any significance. There is always a little bit of backlash, if you will, when the dollar gets very strong in certain geographic markets around the world, but we have now been dealing with a strong dollar for almost a full year. So, we are not currently seeing any significant pricing pressure.
Jean Madar: But we have made some adjustments during the year in terms of retail price or in terms of margins because of the dollar being so strong. We are not contemplating more price adjustments.
Hamed Khorsand: Okay, thank you.
Russell Greenberg: Thank you.
Jean Madar: Alright. So, if there is not – maybe the last question and then we will conclude or if there are no other questions, we will conclude. Operator?
Operator: Yes. We do have another question from the line of Linda Bolton Weiser of B. Riley. Please go ahead.
Linda Bolton Weiser: Yes, hi. I haven’t really looked through the whole cash flow statement, but I am just curious here, your short-term investments I guess went down significantly even though your cash flow was quite good and your cash balance went up, but the short-term investments went down. Is there some explanation for that or?
Russell Greenberg: That’s typically a function of where we have invested the dollars, Linda. If there is a certificate of deposit that is more than three months in maturity, then we are required to classify it as a short-term investment. If we move it into something that is under three months, then it moves back to cash. So, you really need to look at short-term investments in connection with the cash dollars, because they are almost exactly the same.
Linda Bolton Weiser: Okay, thanks a lot.
Russell Greenberg: Okay. No problem.
Jean Madar: Alright. So, thank you for participating to this conference. Excuse me.
Russell Greenberg: The operator will….
Jean Madar: Operator?
Russell Greenberg: Any other questions, operator?
Operator: No, we have no further questions.
Jean Madar: Okay. So, the closing remarks will come from Russ.
Russell Greenberg: Just one thing, just to clarify before we close, I will be presenting on May 25 at the B. Riley Annual Investor Conference in Hollywood, California and the following month I will be speaking at two New York conferences, Citi’s 2016 Small and Mid Cap Conference, which runs from June 9 to June 10 and the Piper Jaffray Consumer Conference, which runs from June 14 to June 15. And I hope to see some of you at these events. Thank you for participating on this call, whether live or listening via webcast. If you have any additional questions, I am usually always available by phone. Thank you very much and have a great day.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time and thank you for your participation.